Operator: Good morning, everyone, and welcome to the XPEL Incorporated First Quarter 2025 Earnings Call. At this time, all participants have been placed on a listen-only mode, and the floor will be open for questions following the presentation. [Operator Instructions]. Please note this conference is being recorded. I will now turn the conference over to your host, John Nesbett.
John Nesbett: Good morning, and welcome to our conference call to discuss XPEL's first quarter 2025 financial results. On the call today, Ryan Pape, XPEL's President and Chief Executive Officer and Barry Wood, XPEL's Senior Vice President and Chief Financial Officer, will provide an overview of the business operations and review the company's financial results. Immediately after the prepared comments, we will take questions from our call participants. A transcript of this call will be available on the company's website after the call. And I'll take a moment to read the Safe Harbor statement. During the course of this call, we'll make certain forward-looking statements regarding XPEL Inc. And its business, which may include, but are not limited to, anticipated use of proceeds from capital transactions, expansion into new markets and execution of the company's growth strategy. Such statements are based on our current expectations and assumptions, which are subject to known and unknown risk factors and uncertainties that could cause our actual results to be materially different from those expressed in these statements. Some of these factors are discussed in detail in our most recent Form 10-K, including under item 1A, risk factors, filed with the SEC. XPEL undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. Okay. With that, I'll now turn the call over to Ryan. Go ahead, Ryan.
Ryan Pape: Thank you, John, and good morning, everyone as well. Welcome to the first quarter 2025 call. We're off to a good start this year, solid top and bottom line performance in the first quarter. Revenue grew 15.2% to $103.8 million. I think a good headline number for us, and obviously more detail as you look at our different regions. Our U.S. Region grew 11.6% to $58.1 million in the quarter. This included sales into the aftermarket independent channel that grew over 10%. So, I think a good result there relative to what we've been seeing. U.S. Car sales in the quarter were good. New car buyer seems to be wanting to get ahead of the tariffs. So obviously, you saw a really good SAR in March, which hard to know how that helps and hurts us in this dynamic, but it's not a bad thing when more cards are sold. So, what that means for the rest of the year, I think remains to be seen. Obviously, still a lot of uncertainty, really impossible to predict what happens and how it might impact the business. But we have good momentum in The U.S. Right now, and I see that continuing, all things equal. Canada region, revenue declined 14.9% to $9.4 million in the quarter. If we adjust for some timing differences from the previous year, revenue decline was around 10%, so still rather significant. Sentiment from customers in Canada is, I would say relatively poor, similar to how The U.S. Started the year last year, if you recall in the first quarter, it was very challenging for The U.S. And Canada outperformed handily in that quarter. So, we started to enter the busy season, and Canada has passed their election. So, we'll keep working hard there. I think the worst probably behind us, but time will tell. China revenue came in at $8.1 million. This was in line with what we expected. At this point, everything is proceeding on track relative to all of our plans in China. We're still engaged with our distributor on evolving the go to market to be more direct in China, and we'll probably have more to discuss in that over the next quarter or two. We saw solid growth in most of the other regions. Europe had its second-highest quarter in history from a revenue standpoint, which was better off of some of the sluggishness in Q4. I think our view on Europe for the year is probably improving at this point. And we saw record revenue in The Middle East. As I mentioned earlier, it's impossible to predict what's going to happen in the coming quarters with all the tariff noise. So, we won't be providing any guidance for the year. It's hard to say what the near-term impacts will be. We saw good momentum in April. Obviously, that could change, but we're feeling pretty good about that. Our view right now is Q2 revenue should be in the $117 million to $119 million range. Again, the environment we're in, that could be on either side of that, potentially. Good gross margin performance in the quarter, which came in at 42.3%, this probably approximates our sort of near-term run rate, plus or minus. And as we discussed previously, we still see upside opportunity for that over the midterm, although our expectations of achieving that this year may be somewhat muted, just given all of the noise and things we're having to do. So, we saw nice leverage in the quarter on our SG&A growth nice leverage in the quarter as our SG&A growth rates moderated. As we discussed on the last call, we did do a restructuring initiative at about $400,000 in costs related to that in SG&A for the quarter, another $300,000 in Q2. We're making good progress on our expense initiatives, and that will continue to be a focus for us. But to be clear, we're continuing to invest in SG&A where it drives future revenue of the business. Examples of that being in our in-country distribution businesses, which we're actively building or services expansion where there may be SG&A investment needed. But the focus on SG&A is really on our overhead and back office, where we have to spend more conservatively, but also where we've invested substantially over the past several years to build the team that we have. So, I feel pretty good about that, continues to be a laser focus for us going forward, but I think we're making progress. EBITDA grew 23.2% for the quarter to $14.4 million, which was a great result. I briefly touched on the tariff situation earlier. Our team obviously is closely monitoring the ever-changing situation, and we can take steps to mitigate potential impacts. From a product standpoint, we don't anticipate significant impact from the tariffs based on how we make and how we sell products and where we do it, including in China. So, there may be transient noise if we have the wrong product in the wrong place for quarter or if we're having to consider and having to consider planning around tariffs and retaliatory tariffs doesn't help with our goal of optimizing and ultimately reducing total inventory, because it's just less efficient, but we're in a good position. I think much harder to understand is the impact on the new car business and the resulting trickle-down impact to our business of tariffs. Questions we're asking are, will there be pull ahead in demand? Maybe we've seen some of that in March or April. Will buyers ultimately substitute one vehicle for another if there's a large pricing disparity? If that substitution happens, how does that impact their decision to accessorize? Will new vehicle inventory become constrained due to production cuts or other factors? How will that impact dealership behavior? Is that good or bad for us? So, these are the kind of things that I think we're working to strategize on, but really our response to all of them is pretty simple. We're not actively doing anything today to change what the business does, except to stay focused on providing best products, services and support to all of our customers. And as things change or if things change relative to the car market and the impacts on the business, we'll of course adjust our business and strategy appropriately. On the product front, we've talked a lot over the past couple of calls with windshield film continues to do well, we're launching additional colored films in Q2, as well as surface protection films for architectural application. I think what you'll see in that line is our internal mantra to protect everything. We'll see a lot more protection applications in the architectural space going forward. Today, we announced our board approved $50 million share repurchase plan authorization. We still view the number one priority for capital allocation is investing in the business via M&A primarily and then secondarily possibility of more CapEx to drive our costs lower. Having said that, there's always a price where buying yourself is obvious. And now we have a vehicle in place to do that. Relative to our inorganic activities, we've discussed our efforts to expand services business, so that work continues. We're, I would say, prudently cautious in our approach given the end market for that business and sort of some of the uncertainty, but we continue to work through that. And I think a big part of managing that correctly is to ensure we get the right valuation for anything we look at and that valuation, the valuations of some of the targets we're looking at that they move appropriately relative even to our valuation that's moved. So, these are things we're focused on, but continuing to push ahead even in light of that uncertainty. So, all in all, I think a good quarter. Team's really done a good job. Everybody's really focused on all the details that matter to ensure we optimize the business and run it in the best possible way, and I couldn't be more thankful for that. So, with that, we'll turn it over to Barry. Barry, take it away.
Barry Wood : Thanks, Ryan, and good morning, everyone. As we said, our total revenue growth in the quarter was 15.2%. And if you take China out of that, the revenue growth in the quarter would have been approximately 8%. Obviously, the Canada performance had a bit of a drag to that. But I think a good takeaway for the quarter is The U. S. Business, which is our largest and most mature market and represents 56% of our total revenue, grew at 11.6% and was almost flat sequentially. So that and the strong performance in most of our other regions are certainly all positives for the quarter. Our total window film product line grew 28.1% in the quarter, with our new windshield protection film product contributing to that. Automotive window tint grew 16.2% in the quarter, and architectural window film grew 9.6%. And sequentially, total window film revenue was flat to Q4. As Ryan also mentioned, our SG&A expense grew 14.4% in the quarter to $32.8 million. And sequentially, this was up about 4.5% versus Q4. And in addition to the $0.4 million of RIF costs that Ryan mentioned, we also had approximately $1.2 million in net costs associated with our dealer conference included in our Q1 SG&A. Ryan also mentioned our solid EBITDA performance, which grew 23.2% to $14.4 million, and this was about a 14% EBITDA margin for us. Sequentially, EBITDA was up a little over 1% versus Q4. And net income for the quarter increased 28.8%, reflecting an 8.3% net income margin, and EPS for the quarter was $0.31 per share. And just a note, our effective tax rate for the quarter was higher than normal at 23.9% due mainly to some foreign taxes paid that will not reoccur. So, for planning purposes, moving forward, you should assume a 21% effective tax rate in future quarters. Cash flow provided by ops was $3.2 million for the quarter, and we continue to build cash on the balance sheet and have substantial debt capacity. So, we feel good about our ability and are well-positioned to execute on our capital allocation priorities as we move forward here. And with that, operator, we'll now open up the call for questions.
Operator: [Operator Instructions]. Thank you. Your first question is coming from Jeff Van Sinderen from B. Riley Securities. Your line is live.
Jeff Van Sinderen: Good morning, everyone, and congrats on the strong metrics in the quarter. Wanted to see if you could give us any more color on kind of what you're seeing and hearing from a U.S. Dealer network in terms of velocity of business, pull forward there, just given the overall general macro uncertainty out there?
Ryan Pape: Yes, Jeff, thanks for the question. I mean, we I think if you look at the data, if you look at the March SAR as an example, I think it suggests some amount of pull ahead. I think as you talk to dealerships, you get maybe more of a mixed answer. Some definitely think they saw that, some not so much. So, I think it sort of stands to reason that we probably see some of that. And then I think the question there is, if the age of the fleet is continued to grow, obviously there's pent-up demand. If we pull ahead now, are we going to pay for that later or will that just be sort of a permanent pull ahead to help fill some of the deficit of what hasn't been sold? But I think there's definitely some of that that's occurring.
Jeff Van Sinderen: Okay. And then, if we could shift to China for a minute, just wondering any more color you can provide on what we might expect there. Obviously, business was up a lot year over year in the quarter. I'm just wondering any more thoughts you can share there.
Ryan Pape: I think what you're seeing, Jeff, is our work paying off to make the entire supply chain more efficient and in the sell in, sell through match. And so, you're not seeing these oscillations in revenue quarter to quarter like we had. And obviously, that was painful by comparison in Q4 and positive by comparison in Q1, but it is going to be much more normalized going forward. And then I think our approach, current issues notwithstanding, is that, we very much want to pursue a more direct business model in China like we have in other markets. And that's something we're still very actively working on, and we'll continue over this quarter.
Jeff Van Sinderen: Okay, great. And then just one more, if I could squeeze it in on the tariff situation, realize that's really fluid and kind of a tough question. But tariff impact on the China business, how do we think about that?
Ryan Pape: Yes, no, it's a great question. I mean, I think that the conventional view on China as it impacts tariffs is from the perspective of a Chinese supply base supplying into The U.S. Market. And obviously there's massive tariff load on that. For us, that's a non-factor because we just don't trade in that way. There isn't meaningful flow of goods for us from China to The U.S. So, then the second impact is really from retaliatory tariffs being the flow of U.S. Goods into China now. And for us, there is historically more exposure there, but with the diversification of our manufacturing locations, product being made, the paint protection film products being made in three countries globally, we're able to supply the portion of that China demand that formerly came out of The U.S. From elsewhere. So, we're really, I think in a good position to weather that as we said, there's the supply chain, not everything is always in the right place at every exact second. So, as you have to react to these, you're incurring logistics expense and probably inflation of working capital a little bit and maybe there's some tariffs paid on a very transitory basis to get things in the right place. But to the heart of your question, the China tariffs and then retaliatory tariff impact for us is really a non-factor.
Jeff Van Sinderen: Okay, great to hear. Thanks for taking my questions. I'll take the rest offline.
Ryan Pape: Thanks, Jeff.
Operator: [Operator Instructions]. Your next question is coming from Steve Dyer from Craig Hallum. Your line is live.
Matthew Raab: Hey, thanks. This is Matthew Raab on for Steve. I want to ask a question on pull forward of demand, but I'll ask it in a little different way. On the take rate for and film, mostly in The U.S, have you seen any meaningful change there from what is kind of a typical steady state versus the last few weeks of Q1 and thus far into Q2? I guess, I would have thought that a buyer that's rushing out to get a car probably wouldn't add film, but just curious on that.
Ryan Pape: Yes. I think your hypothesis is certainly one that we've been asking ourselves to is if you are a if there is a pull forward customer, and you are one of those, how does that impact your take rate? And I think our instinct is that that's probably not our core buyer necessarily. So, I think we're not really of the mindset that we've sort of benefited from that in some outsized way that the pull forward is actually bringing demand forward for us. I think our view on that is probably that it's not. But I think in the metrics we have, there's really nothing that stands out to highlight the answer to your question. I think it's seen everything seems pretty stable from our perspective.
Matthew Raab: Okay, got it. And then on preloading in the dealership channel, noted it was pretty close to a steady state last quarter. Given dealer inventory is turning a little bit lower and that probably continues in the near term, has that or will that be a headwind for you guys? And then are there any strategies that you can take to offset?
Ryan Pape: I think the biggest headwind for us was the shift from the majority of dealerships or a plurality of dealerships building inventory and moving to that sort of steady state inventory environment that maybe we transitioned to in more of the second half of last year. That was really the onset of that headwind. So now it's sort of stable in that sense. If inventory contracts, certainly we saw that at the onset of COVID or the aftermath of COVID and the supply chain shortages, inventory contracting is a near-term negative for that. But I think it's probably too early to really see that that's going to happen here. I think that's certainly a risk if there's production cuts and production cuts combined with pull forward of demand or something that would be a negative for that. But right now, I don't I think it's too early to really call that out as an actual risk for us.
Matthew Raab: Okay. Yes. And then just sort of curious, has there been any headwind from Audi and Porsche vehicles being held at port, at least that's what our checks have said, starting maybe late in Q1, but probably more impactful in Q2. Have you guys seen that? Is that any impact on the business near term?
Ryan Pape: Yes, we've not seen that. I mean, we're sort of watching all of the talk track around what folks are doing with logistics and whether they're holding shipments or not. So, I think we've not seen that. I mean that end market has been pretty good for us. So, I think that will be kind of a wait-and-see.
Matthew Raab: Okay. That's great. That's all for me. Thanks guys.
Ryan Pape: Thank you.
Operator: Thank you. That concludes our Q&A session. I will now hand the conference back to management for closing remarks. Please go ahead.
Ryan Pape: I want to thank everybody for joining us today for the first quarter call, and thanks to our whole team at XPEL for doing great work, and look forward to talking with everyone soon.
Operator: Thank you. Everyone, this concludes today's event. You may disconnect at this time and have a wonderful day. Thank you for your participation.